Operator: Good morning, ladies and gentlemen. Thank you for standing by, and welcome to the Sherritt International Corporation Fourth Quarter 2024 Results Conference Call and Webcast. At this time, all participants are in listen-only mode. I would like to remind everyone that this conference call is being recorded today, Thursday, February 6, 2025, at 10:00 a.m. Eastern Time. I will now turn the presentation over to Tom Halton, Director, Investor Relations. Please go ahead.
Tom Halton : Thank you, operator, and welcome, everyone, to Sherritt's Fourth Quarter 2024 Conference Call. We released our fourth quarter results last night. Our press release, MD&A and financial statements are available on our website and on SEDAR+. During today's call, we will be referring to our presentation that is available on our website and on today's webcast. As we will be making forward-looking statements and references to certain non-GAAP financial measures, please refer to the cautionary notes on Slide 3 of our presentation as well as the material assumptions and risks associated with certain forward-looking statements and reconciliations of non-GAAP measures to the most directly comparable IFRS measures included in the appendix of the presentation. On the call today is Leon Binedell, President and Chief Executive Officer; Yasmin Gabriel, Chief Financial Officer; and Elvin Saruk, Chief Operating Officer. Following a review of our results, we will open the call to questions. It is now my pleasure to pass the call over to Leon.
Leon Binedell : Thank you, Tom, and good morning, everyone, and thank you for joining us today. Our fourth quarter performance was exceptionally strong despite the significant market headwinds that continue to keep nickel and cobalt prices at their lowest levels in years. This capped off a year where we bolstered our sales, decreased our cost and made tough decisions around managing cash to maintain our available liquidity position in Canada. In metals, full year 2024 nickel sales increased 22%. This is a testament to the dedication of our sales team. We don't often highlight their contribution enough, but their ability to make an impactful difference is demonstrated by our performance this year. Our marketing strategy has proved very successful, seizing spot sales, attracting new customers and developing new sales avenues. This success, along with the strategic cost reductions implemented in 2024, enables us to effectively weather the current market conditions. We recorded strong operating results in 2024. Our production of both cobalt and fertilizers was significantly higher and our net direct cash cost, or NDCC, decreased 18% from the previous year as a result of our focused cost management initiatives despite much lower cobalt byproduct credit. Our Moa Joint Venture is in the final stages of Phase 2 of its expansion with the processing plant scheduled for commissioning and ramp up this year. This follows the success we delivered on Phase 1 of the project by ramping up the slurry prep plant in early 2024, in line with our plans. In power, we recorded a six-year high in electricity production, driven by operational improvements and increased gas supply from new wells. Additionally, in the fourth quarter, another new gas well was brought into production. As planned, we incurred higher maintenance costs in Energas during 2024 to bring online an additional turbine and improve equipment availability to process gas from these new wells. As you can see from our 2025 guidance, which was released last night, with the completion of the work in 2024, we expect maintenance costs to be significantly decreased in 2025. As a direct result of our multiyear strategy to optimize our Power division, we started to receive significantly larger dividends in Canada. We received $13 million in 2024 and expect this dividend to double in 2025 and remain at elevated levels going forward. We maintained our available liquidity in Canada, ending the year at approximately the same level we started despite the average reference price for both nickel and cobalt each declining 22% further to reach multiyear lows. In the fourth quarter, we did, however, receive $30 million distribution under the cobalt swap despite these lower market prices. I will discuss what we're seeing in the nickel market in more detail shortly. But first, I'd like to conclude on the highlights of the year by acknowledging our team and our partners in Cuba for their exceptional performance in both metals production and power production and net direct cash costs, all falling within the guidance range for the year. Our results for the year on their own were commendable, but they are remarkable in the context of the operating environment which we faced. This was especially notable in the fourth quarter, where we navigated the nationwide power outages and several natural disasters in Cuba while managing through port strikes that disrupted logistics in Canada. Again, I congratulate the team on their outstanding performance. Turning to Slide 5. Aside from a strengthening U.S. dollar, there were a number of notable market developments during the fourth quarter as outlined. The most significant was Indonesia weighing cuts to their nickel mining quotas. The news, however, did not offer much for nickel prices, reaching new lows for the year in December. The average nickel price for the fourth quarter was a four-year low. And for cobalt, we reached the lowest price levels in almost a decade. We also see Western governments continue to evaluate various initiatives, which would support critical minerals development. In January of this year, reports circulated that Canada would be advocating discussions on critical mineral pricing floors during the upcoming G7 Summit in June. While this and other supportive government initiatives are promising, the current supply-driven pricing environment is likely to persist in the near term. We must continue to find ways to improve our operations within this pricing environment as we did in 2024. Through our continued efforts to deliver on operational efficiencies, cost reduction initiatives and disciplined allocation of limited cash resources, we continue to proactively set ourselves up to navigate these volatile markets and ultimately drive towards sustained growth. Elvin will now provide more details on our '24 performance and our operational outlook for 2025.
Elvin Saruk : Thank you, Leon. Turning to Slide 7 for our metals results. Mixed sulfide production during the quarter benefited from improved feed to the processing plant with the new slurry preparation plant. As Leon mentioned, however, our operating team faced a number of external challenges in Cuba during the quarter, including an earthquake, two hurricanes, national-wide power outages and heavy rains that required us to process lower grade stockpiles. Finished nickel and cobalt production in the quarter both increased year-over-year from higher mixed sulfide feed availability at the refinery. As you may recall, earlier this year, we strategically built up feed inventory at the refinery to ensure operational continuity. Now moving on to sales. Finished nickel and cobalt sales were both strong with nickel sales exceeding production due to strong spot sales, sales into strategically targeted segments as well as realizing sales that were deferred in the third quarter as a result of the Canadian rail lockup. Fertilizer production and sales were also notably higher as a result of operational improvements and equipment availability. Particularly, ammonia was higher as a result of lower maintenance in 2024. Additionally, we saw higher sales of other byproducts, specifically sulfuric acid as we took advantage of higher pricing. As Leon mentioned, for the year, nickel production, cobalt production and NDCC all met our 2024 guidance range. Now to Slide 8 for a little more detail on our NDCC. In the fourth quarter, NDCC was $5.44 per pound, representing a decrease of over 30% year-over-year. This reduction was mainly attributable to 14% lower mining, processing and refining costs, or MPR per pound of nickel sold. The lower MPR per pound was largely due to operational improvements, reduced maintenance costs, lower input commodity prices and the impact of higher fertilizer and nickel sales volumes. The lower NDCC was achieved despite reduced cobalt by-product credits resulting from lower average realized prices. Now to Slide 7 for an update on the expansion project at Moa. Phase 2 of the Moa Joint Venture expansion, the processing plant is in its final stages of completion. With lower nickel and cobalt prices and keeping with our objectives to preserve our liquidity, certain expenditures were pushed to the first quarter this year when construction will be completed. Overall, the project remains on budget and timing of the ramp-up remains on schedule. During the fourth quarter, progress continued on piping installation and brick lining of vessels. Some pre-commissioning activities are also now underway and concurrent with the ramp-up. In addition, the Moa Joint Venture is undertaking a series of measures to improve some minor process debottlenecks to support the increased MSP production. We look forward to getting underway and advancing through the ramp-up over the coming months. Now to Slide 10 for our guidance for 2025 for metals. Included in our guidance is the impact of our biannual Fort Site ammonia plant turnaround and purchases of sulfuric acid required during the acid plant turnaround at Moa. In 2025, we expect an increase in production of nickel and cobalt. We see production to be weighted towards the back half of the year, in part because MSP inventory at the refinery is currently low as a result of the external challenges in Cuba last quarter. In the second half of the year, particularly in the fourth quarter, higher MSP production is expected to be delivered to the refinery following the ramp-up of Phase 2 of the expansion. This is expected to lead to further increases in finished nickel and cobalt production in 2026. Now NDCC. NDCC is expected to be relatively consistent with 2024, benefiting from higher production and sales in addition to cost optimization initiatives. Offsetting this is our forecast assumptions for commodity prices, which we expect to result in lower cobalt byproduct credits and higher input costs, mainly from higher sulfuric -- sulfur prices. As in the past, we expect NDCC to be higher in the first quarter before benefiting from higher fertilizer byproduct credits in Q2 and Q4 in addition to the higher metal sales expected late in the year following the ramp-up of the expansion. Sustaining capital is expected to be $35 million. In addition to this, $40 million is expected to be spent on the Moa tailings project in each of 2025 and 2026. The new tailings facility expected to be commissioned in 2026 will provide a tailings solution for the Moa mine over the entirety of its mine life of approximately 25 years. The Moa Joint Venture has secured a $60 million equivalent loan in Cuban pesos from a Cuban financial institution with a five-year maturity that will be used to support the capital spend on tailings. Growth spending on capital of $5 million is related to deferred spending from 2024, which is to be used for the completion of construction of Phase 2 of the expansion project. Now turning to Slide 11 for our power results in Q4. In Q4, due to the challenges involving the national power grid in Cuba, the government power agency required Energas to run the Varadero facility in frequency control, reducing power generation to help support the stability of the national grid. Energas expects that the Varadero facility will operate in frequency control throughout 2025 and will continue to be fully compensated for this reduction. During the fourth quarter, we saw lower power generation and higher unit operating costs as a result of the national-wide power outages and the Varadero facility operating in frequency control. Even with this impact, for the full year, power production was within its guidance range and unit operating costs were just 1% above the top end of the range. In early October, another new gas well was brought into production. This new well was the third well to go into production since the second quarter of 2023 and will continue to improve utilization rates and significantly higher levels of power generation as part of our multiyear strategy to maximize the use of our invested capital in Energas that we expect will drive higher dividends. Now to Slide 12 for our guidance for power. With the new gas well now producing, power production in 2025 will continue to be strong despite the Varadero facility operating in frequency control this year, which is estimated to have an impact of approximately 150 gigawatt hours in power generation. As mentioned, Energas will be fully compensated for this reduction. And as such, we expect there will be no negative impact on Power's adjusted EBITDA, earnings from operation or dividends from Energas to Sherritt. Unit operating costs is expected to be significantly lower with the midpoint of our 2025 guidance showing an improvement of 30%. Last year, major maintenance work at Puerto Escondido on three gas turbines during the second and third quarter, which brought an additional gas turbine online to increase operating efficiencies and to process gas being received from the new wells. Lastly, on spending, we are expecting $2 million for this year. I will now turn the call over to Yasmin for the financial results.
Yasmin Gabriel : Thanks, Elvin. I'll begin with our financial performance on Slide 14. Our financial performance continues to be impacted by the challenging price environment for nickel and cobalt. During the fourth quarter, average realized prices for nickel and cobalt were lower year-over-year by 8% and 29%, respectively, partially mitigated by our nickel put options with $4.7 million received during the quarter. Conversely, we delivered considerable operational success, effectively managing the aspects that were within our control, which contributed positively to our financial performance. Specifically, in the quarter, nickel sales volumes were 23% higher, which was an impressive achievement considering the port strikes in Canada. In addition, mining, processing and refining costs per pound of nickel sold were 14% lower in the quarter. Combined revenue, which includes revenue from the Moa Joint Venture on a 50% basis and which more holistically reflects our performance was higher at $160.3 million compared to $140.5 million in Q4 2023. This resulted from higher nickel revenue at the Moa Joint Venture as higher sales volumes offset lower average realized prices and with improved Fort Site fertilizer revenue from both higher average realized prices and sales volume. Adjusted EBITDA in the fourth quarter of $15.4 million was significantly higher year-over-year, primarily driven by the reduction in mining, processing and refining costs and a stronger contribution from nickel and fertilizer sales, as I just mentioned. Net loss from continuing operations was $22.5 million. Adjusted net loss from continuing operations was $10.2 million and excludes an $8.4 million noncash impairment of intangible assets in oil and gas and a $6.9 million non-cash loss on rehabilitation provisions as a result of updates to valuation assumptions for rehabilitation and closure costs on legacy oil and gas assets in Spain. Turning now to Slide 15. We ended the year with $62.4 million of available liquidity in Canada. We maintained approximately the same level from prior year despite the impact of significantly lower metal prices and the array of external challenges in the fourth quarter, which demonstrates the effectiveness of our approach to managing our liquidity. During the fourth quarter, key changes in liquidity included $23.7 million of cash received from the cobalt swap. This was in addition to the $6.1 million received in cobalt. $7 million of dividends from Energas, bringing the total dividend received during the year to $13 million, $4.7 million of cash received from in-the-money nickel put options with a total of almost $6 million received for the full year, $9.4 million in interest paid on second lien notes, $3.6 million in payments and contractually obligated rehabilitation and closure costs related to legacy oil and gas assets in Spain, and changes related to the timing of working capital receipts and payments. Looking ahead, a few reminders for 2025. As Elvin mentioned, we expect nickel and cobalt production to be weighted towards the back half of the year and in line with that and assuming current metals prices persist, we expect distributions under the cobalt swap to occur in the second half of the year and that it will not meet the annual minimum amount this year, similar to 2024. We are anticipating much higher dividends in Canada from Energas with higher levels of production and with the completion of the 2024 maintenance program. We expect to receive between $25 million to $30 million, which is a step change increase from the $13 million we received last year. Finally, we expect to receive a full year of savings following the cost optimizations we implemented last year. That concludes my comments, and I will turn the call back over to Leon.
Leon Binedell: Thank you, Yasmin. Before we conclude, I will review our ESG highlights from the year on Slide 17. Starting with safety, which remains a key focus for us. During 2024, we completed comprehensive safety strategy sessions with each operation, developing concrete action plans, and we hired additional health and safety personnel to continue to improve our safety performance. We maintained and verified conformity with the LME's Track B responsible sourcing requirements. We completed a greenhouse gas emissions baseline assessment at both Moa mine site and the Fort Site and identified potential decarbonization opportunities. Lastly, we completed a climate risk assessment and opportunity assessment at Energas. Strong ESG credentials are critical for Sherritt. Beyond our social license to operate, current and evolving metals market customers increasingly prioritize responsibly sourced inputs. Our strong ESG profile allows for new market opportunities and partnerships with key stakeholders and aligns with our longer-term marketing strategies to mitigate the risk from Chinese-driven oversupply in the market as well as positioning us to take advantage of new customer growth segments where higher ESG criteria are being demanded and continue to evolve. Concluding on Slide 18. Although conditions were challenging, our operating teams delivered a strong quarter and year. Looking to 2025, we anticipate continued market pressures. However, we look forward to a year with strong operating performance, receipt of additional distributions under the cobalt swap and significantly higher dividends from power. The ramp-up of the Moa Joint Venture expansion will be a key catalyst this year, increasing our MSP production from Moa for the remainder of its long mine life and will also benefit from a high-quality long-term tailings facility built to international safety standards. Beyond this growth, we are continuing to make progress on our strategic initiatives, such as our MHP project focused on refining capability in the EV value chain, and we expect to provide more developments on this project in the year ahead. And with that, operator, I'd like to open the call to questions.
Operator: Thank you. Ladies and gentlemen, we’ll now begin the question-and-answer session. [Operator Instructions] Our first question comes from the line of Tony Robson from Global Mining Research. Your line is open.
Tony Robson : Thank you operator. And thank you for taking my question. Lots of headlines even in the UK where I sit regarding Trump initiatives against Cuba going back on, I think, the list of sponsored tourism by countries. But your continued expansion in Moa suggests that at least at the operating level, despite the immigration from the country, despite the power blackouts, your -- the hint would be that Moa Bay or operating in a fairly consistent manner that you're comfortable with. So could you tell us a little bit more expensive on operating conditions in country, availability of skilled personnel and any other issues that you think are relevant? I have a follow-up to that.
Leon Binedell: Sure, Tony. Thanks for your question. Operating conditions in Cuba has been much more challenging following COVID with a reduction of tourism revenue into the country. And following the initial Trump stance to go hard against Cuba and sort of maximum pressure. We've been able to navigate those conditions successfully over the last number of years and continue to expect that we will be able to navigate those this year and the years ahead. The conditions are not dissimilar to what we experienced in '24, in '25 from access to skilled resources. We've made a number of changes in recent times in collaboration with our Cuban partners to incentivize and to retain talent in Cuba, which we believe will drive success there that should see less people exit the Moa region. It is not unknown to people that Cuba has had a significant exit of talent out of the country. But some of the actions that we've taken, we believe, will have a positive impact on those and the ability to retain talent. So we're confident that the actions that we have taken and continue to take will create the operating environment, albeit extremely challenging in similar situation as where we found ourselves this year and have similar outcomes.
Tony Robson : Okay. Further on the Trump administration, and I take it the answer will be no, given the source of materials. But I'll assume that if there's any potential sanctions against Canada, nothing in terms of refined nickel, cobalt or fertilizer from Fort Saskatchewan goes to the U.S., would that be correct? So tariffs would not impact you?
Leon Binedell: That is correct. We do not currently sell any product into the United States nor have any dealings with the United States. So any particular actions against Canada, we believe will have minimal impact to our operations and our business. But we'll refrain from speculating what the Trump administration might do or any specific actions they may target.
Tony Robson : Thank you. I’ll pass the line with let other to ask few questions. But I’ll be back if I may, please. Thanks.
Leon Binedell: Thanks, Tony.
Operator: Our next question comes from the line of Gordon Lawson from Paradigm Capital. Your line is open.
Gordon Lawson : Hey, good morning, everyone. And congratulations on a great quarter. On the swap agreement, I just wanted to confirm that you expect to receive the 2024 payments in the first half of this year, but there's a possible another deferment of the 2025 payment into 2026. Is that correct?
Leon Binedell: So Gordon, just to remind everyone how the cobalt swap functions, there is a targeted minimum level per year. And to the extent that, that minimum threshold has not been met, it gets added to the following year. So the target for '25 is substantially higher than the minimum for a single year. We do not anticipate that to be fully fulfilled under current market conditions. However, we continue to expect that the cobalt swap will be fulfilled in the expected time frame by the end of 2027, given the significant impact of retroactive interest if it's not fully repaid in the expected time frame. Our partners are highly incentivized to ensure that the cobalt swap is fully satisfied by the end of the term.
Gordon Lawson : Okay. Okay. That makes sense. Thank you. And on the ramp-up, is it fair to assume or to model completion of the ramp-up by the end of the first half of this year?
Leon Binedell: So we're only commencing the ramp-up in the first half of this year. So I would suggest that we will start getting the volumes from the ramp-up really in Q3 and sort of reach full capacity by Q4.
Gordon Lawson : Okay. So it's even possible we could see another annual increase in guidance for 2026 then. So that's another great news coming out of it.
Leon Binedell: Yeah.
Operator: Our next question comes from the line of Ethan Garber from Imperial Capital. Your line is open.
Ethan Garber : Hi, thanks for taking our call. Can you explain a little bit more detail on how the -- you expect the revenue increase, the dividend increase from Energas? Is that related to increased output? Because it's quite a dramatic improvement.
Leon Binedell: Sure thing. Thank you. In 2024, we made some significant investments in Energas. So Energas made significant investments in restoring power production capabilities to utilize the additional gas from the new wells. That has driven increased production and sales, and we'll continue to see the increased levels of production and sales, which is ultimately driving increased availability of cash flow and the ability to pay dividends. You would have seen year-over-year, the expected maintenance is materially lower and production year-over-year is higher. And so we expect essentially, as Yasmin indicated, more than doubling of the dividend in 2025 over '24.
Ethan Garber : And our unit -- thank you for explaining that. Our unit production costs or unit operating costs, rather, are those correlated with fuel prices in any way? Or they're really more an amortization of your operating cost of your actual operating cost?
Leon Binedell: Just to remind everyone that the fuel is supplied to Energas free of charge by Quebec. So the cost of operating is purely the transformation cost of converting gas, treating the gas and generating power. There's no cost to fuel or exposure to fuel, the cost of natural gas.
Ethan Garber : Thank you.
Operator: Our next question comes from the line of Tony Robson from Global Mining Research. Your line is open.
Tony Robson : Thank you operator. And thank you again for taking my second set of questions. Actually, partly answered by the previous analyst and your answer to him. So one very small matter. Sorry, legacy oil and gas in Spain, you lost about $18.8 million for the year if we strip out depreciation and amortization. There's about a cash spend of about $8 million to $9 million, assuming that P&L loss represents cash. How do you see that going forward into 2025 and 2026? Will it stay at about that same level? And for how long does it go? Or does it sort of taper off over the years? Thank you.
Leon Binedell: Sure, Tony. A number of the adjustments that you would see that go through the rear obligations are just normal quarterly adjustments to underpinning assumptions, whether those be discount rates, interest rates or foreign currency movements. The table in the financial statements -- the commitments table indicate the expected maturity of when we expect the cash flows to occur. I can't remember the exact note in the financial statements, but you'll see that in the commitment table that outlines the expected time frame. There is some spend in 2025, but most of the spend is back ended sort of in that five-plus year window.
Tony Robson : Okay. Great. Sounds like I have to do some more digging through the accounts, which I haven't done yet. So thank you. No further questions.
Operator: There are no questions at this time. Please continue.
Tom Halton : Thank you, operator. If anyone has any further questions, please feel free to reach out, and we thank you all for joining us today.
Operator: Thank you. This concludes today's conference. Thank you for participating. You may now disconnect.